Operator: Ladies and gentlemen, good afternoon, and welcome to the Corsair Gaming's Third Quarter 2025 Earnings Conference Call. As a reminder, today's call is being recorded, and your participation implies consent to such recording. [Operator Instructions] With that, I would now like to turn the call over to David Pasquale with Corsair Investor Relations. Thank you. Sir, please begin.
David Pasquale: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Corsair's Financial Results Conference Call for the Third Quarter ended September 30, 2025. On the call today, we have Corsair's CEO, Thi La; and CFO, Michael Potter. Thi will review highlights from the quarter. Michael will then review the financials and our outlook. We will then have time for any questions. Before we begin, allow me to provide a disclaimer regarding forward-looking statements. This call, including the Q&A portion, may include forward-looking statements related to the expected future results for our company and are, therefore, forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release and other SEC filings. Note that until our 10-Q has been filed, these numbers are preliminary. Today's remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to the GAAP financial information is provided in the press release we issued after the market closed today. With that, I'll now turn the call over to Corsair's CEO, Thi La. Please go ahead, Thi.
Thi La: Thank you, David, and thank you all for joining us today. Q3 was another strong quarter for Corsair. We delivered double-digit year-over-year revenue growth and even stronger profit expansion, demonstrating disciplined execution and operational focus. These results reinforce that we are delivering on our promise, bringing more innovative products to market with a faster cadence and benefiting from strong consumer acceptance. We are seeing excellent traction across our latest product launches, such as the Vanguard 96 gaming keyboard, Saber Pro FPS ultra-lightweight mouse and Valor Pro Premium customizable controller. All of these were praised by the gaming community as offering great value with the right features for competitive and enthusiast players. The feedback and early sales performance confirm that our recent product road map is solid and will position us well into 2026. In our Components and Systems segment, revenue grew over 15% year-over-year, fueled by demand for high-performance PC builds and upgrades around the NVIDIA 5000 series GPUs. Customers continue to invest in high-wattage PSUs, 360-millimeter water cooling and high-capacity DDR5 memory. The launch of our award-winning Air 5400 chassis further strengthens our position as a leader in DIY solutions, giving builders a major step-up in both cooling performance and aesthetics. Our DDR5 memory lineup also broke multiple overclocking world records this quarter, a testament to our strength in performance DRAM engineering. We are also pleased with our Elgato brand, which continues to drive the broader creator ecosystem through the success of its marketplace flywheel. Growing adoption of Stream Deck, supported by an active creator community and increasing integration with leading applications and content creation platforms is creating meaningful long-term momentum. As our network of industry partners expands, we are unlocking new use cases and software opportunities that strengthen the ecosystem and reinforce Elgato's position as the go-to platform for creators. We have also made great progress on M&A integration, where we are expanding both our product road map and global reach. Fanatec's partnerships with leading motorsport brands, including BMW, Porsche, Red Bull and Sparco highlight our position as a trusted innovator in sim racing. Together, we are delivering authentic, high-performance experiences that bridge real-world racing and simulation. Fanatec's strong presence at the SimRacing Expo in Dortmund, Germany underscored the accelerating demand we see in Europe and the U.S. We received very positive community response and strong engagement for our latest Podium DD Direct Drive wheelbase and podium pedals precision pedal set. We developed these in collaboration with professional drivers to design in the most realistic experience possible for SIM drivers. We see Sim Sports as a multiyear growth driver and have more exciting products in development heading into 2026 and beyond. With a strong racing brand and global expansion opportunities, we feel good about our position in the market. Looking ahead, we remain focused on executing every key element of our business strategy and building smarter products faster for our community of gamers, creators and professionals. We continue to manage operating expenses with discipline to improve our bottom line, while still supporting the strategic investments that drive future growth. Lastly, our AI road map opens exciting opportunities for Corsair to participate at multiple levels from computing, content creation, usability to performance tuning, all of which position us for long-term growth. With that, I will turn it over to Michael to walk through the financials.
Michael Potter: Thanks, Thi, and good afternoon, everyone. As Thi noted, this was another strong quarter for us. We grew profitability faster than revenue in the quarter, underscoring the significant operating leverage within our business model. Our balance sheet remains strong, and we are in a great position to support enthusiast demand across our entire ecosystem, while continuing to invest in the long-term initiatives that will drive our growth. In terms of the specifics, Q3 2025 net revenue increased 14% to $345.8 million compared to $304.2 million in Q3 2024. For the first 9 months of 2025, net revenue increased 15% to $1.04 billion from $902.8 million in the year ago period. European markets contributed 40% of our Q3 2025 revenues compared to 34% in Q2 2025, while the APAC region was 13% of our Q3 2025 revenues compared to 14% in Q2 2025. Turning now to our segments. The Gamer and Creator Peripherals Segment contributed $112.7 million of net revenue during the third quarter compared to $102 million in Q3 2024. For the first 9 months of 2025, Gamer and Creator Peripherals Segment revenue increased to $327.3 million compared to $303.2 million in the first 9 months of 2024. The Gaming Components and Systems Segment contributed $233.1 million of net revenue during the third quarter compared to $202.2 million in Q3 2024. Memory products contributed $117.2 million in Q3 2025 compared to $97 million in 3Q 2024. For the first 9 months of 2025, Gaming Components and Systems segment revenue increased to $708.4 million from $599.6 million in the first 9 months of 2024, with revenue from memory products increasing to $363.2 million from $303.6 million. Overall gross profit in the third quarter increased 33.6% to $93.1 million compared to $69.7 million in Q3 2024, reflecting our continued execution and increased contribution from higher growth products and channels. Gross margin increased 400 basis points to 26.9% compared to 22.9% in Q3 2024. This reflects the positive uplift from our improved product mix. Overall gross profit increased to $281.3 million for the first 9 months of 2025 compared to $219.4 million in the first 9 months of 2024. Gross profit in the Gamer and Creator Peripherals segment increased to $44.3 million compared to $39 million in Q3 2024. Gross margin increased to 39.3% compared to 38.3% in Q3 2024. The Gaming Components and Systems segment gross profit increased to $48.8 million compared to $30.6 million in Q3 2024. Gross margin increased to 20.9% compared to 15.1% in Q3 2024. Our memory products gross margins in this segment were 16.8% for the third quarter compared to 10.7% in Q3 2024. Third quarter SG&A expenses were $82 million compared to $74.1 million in Q3 2024, but down from $85.3 million in Q2 2025 as we support our higher revenue, but remain diligent in our cost controls. Third quarter R&D expenses were $16.7 million compared to $16.5 million in Q3 2024. This was down from $17.5 million in Q2 2025. We remain committed to the controlling operating expenses, while supporting the company's long-term growth opportunities. GAAP operating loss improved to $5.6 million in the third quarter of 2025 compared to a GAAP operating loss of $20.9 million in Q3 2024. Third quarter adjusted operating income was $13.5 million compared to adjusted operating income of $2.4 million in Q3 2024. Adjusted operating income was $40.8 million for the first 9 months of 2025 compared to $14 million in the first 9 of 2024. Third quarter net loss attributable to common shareholders was $9.5 million or $0.09 per diluted share as compared to a net loss of $58.4 million or $0.56 per diluted share in Q3 2024. On an adjusted basis, third quarter net income was $6.8 million or $0.06 per diluted share compared to an adjusted net loss of $30.3 million or $0.29 per share in Q3 2024. For the first 9 months of 2025, adjusted net income was $20.4 million or $0.19 per diluted share compared to adjusted net loss of $27.6 million or $0.27 per share in the first 9 months of 2024. Finally, the third quarter adjusted EBITDA increased 236% to $16.2 million compared to $4.8 million in Q3 2024. For the first 9 months of 2025, adjusted EBITDA increased 117% to $47 million compared to $21.6 million in the year ago period. Turning now to our balance sheet. We ended Q3 with a cash balance, including restricted cash of $65.8 million. We built inventory ahead of the seasonally strong Q4. Overall, we continue to maintain a healthy balance sheet with sufficient cash to fund the development of our expanding product portfolio and growth plan. We ended Q3 with $123.4 million of debt at face value, and our $100 million working capital revolver remains available. Our outlook. In terms of the full year 2025, we are updating our guidance to reflect greater clarity around the market dynamics and ongoing changes in the global trade policy developments. Net revenue is expected to be in the range of $1.425 billion to $1.475 billion. Adjusted operating income to be in the range of $76 million to $81 million. Adjusted EBITDA is projected between $85 million and $90 million. This adjustment gives a conservative outlook for Q4, primarily to account for a tight DDR5 memory market and reflects customers' latest spending patterns. While Corsair has a strong mitigation plan in place for memory availability, we believe it's prudent to temper expectations on the upside in this category. Gaming and Creator Peripherals continue to grow year-over-year, tracking in the high single digits for 2025. As gamers focus on high-end PC builds, particularly with the adoption of NVIDIA 5000 series GPUs starting in late Q2, we expect peripheral upgrades to follow as new builds normalize, supporting continued momentum into 2026. As a reminder, when we model income taxes, we do not take a benefit for losses in our GAAP results. In Q3 2024, we took a $32.5 million noncash valuation allowance. Since then, we have been not booking a credit that would create further tax assets related to a loss carryforward, which is usual for this type of accounting. Typically, we would not start recognizing this benefit until you return to profitability. In addition, despite $12 million in unforeseen tariff costs since May, Corsair delivered meaningful margin progress through agile supply chain management, proactive sourcing, pricing actions and disciplined spending. Corsair expects to exit 2025 with a solid year-over-year improvement in EBITDA margin. We believe this positions Corsair for sustained profitable growth in 2026. With that, we're now happy to open the call for questions. Operator, will you please open the call for Q&A.
Operator: [Operator Instructions] The first question comes from the line of Aaron Lee from Macquarie Asset Management.
Aaron Lee: As it relates to guidance, you referenced estimated consumer spending patterns in the release. Any more color you can put behind that just in terms of your expectations? And can you comment on how trends looked as you progressed through the quarter and into October, please?
Thi La: Yes. Good to hear from you, Aaron. So with regards to that particular comment, what we see is the availability of the NVIDIA GPU is really only hitting us towards the end of Q2 and Q3 is when the consumer spending was starting to come for the DIY components categories as well as system. And the spending pattern is more on the component and systems segment first. That's where you see the nice growth year-on-year, double digit. And basically, where we see is that the delay in increased spending for Gaming Peripherals and Creator segment into Q4 and 2026. It still show a nice number year-on-year for us, but we see that as just a priority in terms of investment. Now I do have to say that we do see that when we start at the beginning of the year, we were looking at double-digit growth for gaming, but for the North American market, it's more like a single digit versus a double digit at this point.
Aaron Lee: Got it. Great. That's helpful color. And then on the memory market, do you have any visibility into how long the tightness there could last? And at what point do you decide it's appropriate to start mitigating? And how quickly can you implement the mitigation plans?
Thi La: Yes, that's a great question. And probably late Q3, we are starting to see signs, and I'm sure you have heard it from other industry partners as well that the DDR5 memory is going to be tight towards the end of this year and probably first half of next year. We have already taken action probably at the beginning of Q3 at this point. You can see that from our cash position where we definitely are investing in inventory to help drive the rest of the year as well as, well into next year. And we feel pretty good about our position at this point in terms of memory supply as well as our ability to just drive growth year-on-year, but we're being conservative because seeing that where the market is a bit tight, we don't want to be overly ambitious in terms of our numbers.
Operator: We take the next question from the line of Alicia Reese from Wedbush Securities.
Alicia Reese: If we could double-click a little bit more on the memory, the guidance with regard to the DDR5. Now can you give us a little bit more color on the conservatism? I suppose what you are looking at in terms of worst case/best case scenario and how that plays out through the fourth quarter?
Thi La: Yes. So actually, memory contributed meaningfully to Q3 in the last -- you know, memory is actually kind of like 1/3 of our revenue in some quarters. And right now, the -- we're seeing some benefit from margin expansion, especially due to the fact that we have decent inventory positions and the pricing has been going up. In general, when the memory market started to move upward in terms of pricing, we usually see some margin benefits from that. And in terms of inventory, we're feeling pretty good about our position. And as I mentioned before. So our conservatism is, as I mentioned, just stem from the fact that if we look at the situation, if it's going to be a couple of quarters out with a lot of people jumping in to mitigate it, we don't want to assume any potential upside just yet, right, at this point. But the demand is actually quite healthy at this point. I would say that we cannot fulfill all of the upside coming in. But on the other hand, we're not worried about the number that we have committed to.
Operator: We take the next question from the line of Drew Crum from B. Riley Securities.
Andrew Crum: Michael, your commentary on tariff costs, $12 million, I just want to clarify that's an unmitigated number. Also, what are you anticipating through the balance of the year? And any preliminary thoughts as to where your tariff exposure or costs will be in '26? And then I have a follow-up.
Michael Potter: Well, thanks for the question, Drew, and welcome back to the call. It's good to hear your voice again.
Andrew Crum: Good to be back.
Michael Potter: Yes, that's the unmitigated and that's our number for this year, what our expectations are. We mitigated almost all of it, as we've indicated before, just to give an indication of some of the headwinds we fought against. And I don't know if Thi has anything else you'd like to add to that.
Thi La: Yes. Drew, very nice to meet you under any capacity. I think what we wanted to kind of start out the year -- I mean, I wanted to kind of relate back to when we start out the year, and we didn't plan for any tariff when we set the 2025 numbers. And since then, lots of changes in the policies, and we were happy to say that we were able to mitigate pretty much most, if not all, of the tariff impact. And as the company is really focusing on building up our margin portfolio and really trying to kind of increase our efficiencies in product launch cadence as well as operational efficiencies and M&A synergies, we feel pretty good about 2025 overall. And our latest signal for the rest of the year basically is a testimony to the effort that we have in terms of supply chain mitigation as well as product pricing mitigation. So I just wanted to kind of share that with you, but you can see the accomplishment here.
Andrew Crum: Got it. Okay. Very helpful. And then, Thi, it looks like I peaked at your 10-Q, it looks like your U.S. business lagged other regions during 3Q. And I know one of your competitors last week flagged weaker consumer demand in the domestic market during their 3Q. I'm curious if your comments concerning the North American market being up single digits versus double digits earlier in the year, what that contemplates as far as the holiday quarter is concerned?
Thi La: Yes. So for Q3 for us, we see that both Europe as well as Asia market is growing double digit and North America specifically grew single digit. That was the comment that I made earlier on, and we see that this region is growing a little bit slower than the other region. We are still seeing Corsair performing better than market, especially with the 15% and the 10% segment growth. So we're feeling good about our ability to gain market share during this time. But my comment is basically reflecting that North America, in particular, is slower than the other 2 regions.
Operator: We take the next question from the line of Rian Bisson from Craig-Hallum Capital Group.
Rian Bisson: It's Rian on for Tony Stoss. I'm just curious kind of on the Elgato side. I mean now that it's been kind of a full quarter with the Nintendo Switch 2 selling and it's selling very well. If there's anything you could speak to about maybe Streamdeck or Capture Cards that could be trending better than expectations just with an expansion into the Nintendo Switch 2 market?
Thi La: Yes. Very nice to meet you, Rian, and welcome on board. I wanted to speak to the Elgato Capture Cards, in particular, the 4K Capture Card that we launched in around June time frame, right in line with the Switch 2, and since then, we definitely have seen double-digit growth, if not triple-digit growth for the categories in terms of people liking to be able to stream with the new platform. And same thing, Streamdeck alongside with that is doing fairly well. We see point of sales growing double digit year-on-year. We're making great progress with the platform. Also, the marketplace is growing in terms of contents and plug-ins. And we see that creators is definitely using the platform to either post their plug-ins or to even monetize for their plug-ins and the number of daily average users is growing very nicely for us.
Operator: [Operator Instructions] We take the next question from the line of Doug Creutz from TD Cowen.
Douglas Creutz: It's kind of a big picture question. I read a story the other day that Steam's active user base had roughly doubled over the last 5 or 6 years. And I remember several years ago, you guys had an Analyst Day where you talked about your expectations for growth in the PC gaming market. And they were sort of consistent with that, maybe a low double-digit growth rate. When I look at your Components and Systems segment revenue, where it's likely going to come out this year relative to where it was in 2019, it's only up about 15%, which -- there seems like there's -- somewhere there's a lot of leakage between the overall growth rate of the industry and what you guys are seeing on the system side. Obviously, your peripherals performance has been higher, but there's also been a lot of M&A in that segment. So maybe could you talk about why the divergence in the growth you've seen versus the growth the industry has seen and what you can do to get the 2 back into sort of parity?
Thi La: Thank you and good to hear from you. So the way that we see the market is actually 2 very different segments, right? So you've got the publishers, the software revenue through game titles. And then you also have the hardware revenue through either people buying gaming PC from manufacturer like HP, Dell. And then they can build PCs through us. So these are like the DIY folks, and that's the Gaming Components and Systems segment. So we, in general, forecast our business alongside with hot game releases to be about a single-digit growth with the exception of when you have an NVIDIA graphic cards launch, then that's when we started to see the big pop in terms of double-digit growth. So this year, because of the 5000 series launches, we were predicting that a lot of people will be rebuilding their PC, and that's where we see the spike. To play some of these titles, you don't really need to have a new PC every single time. So we see the growth of game titles, unless you have a very exciting titles like Fortnite, for example, that requires a very good headset, for example, to play. It's basically just pretty much track more like a single-digit growth. And the next title for us that's going to be driving a lot of hardware sales, we believe, is the GTA VI when that is becoming available for PC because to play that game, the graphics content requires extremely high resolutions, and there will be a lot of CGI content being created at that time. So this is where we can see another double-digit acceleration.
Operator: [Operator Instructions] We take the next question from the line of Colin Sebastian from Baird.
Unknown Analyst: This is [indiscernible] on for Colin Sebastian. Now that Fanatec is integrated into the core business and gaining traction with partners and consumers, are you thinking about the SimRacing opportunity any differently than at the initial acquisition?
Thi La: Yes. Thank you for coming in. We actually are very excited about the Fanatec opportunity from a number of different fronts. So the first one is just expanding the current product road maps. When we acquired Fanatec, some of the solution that they have on their portfolio has been quite old, and we just started to unlock all of that solution we'll be releasing, starting from now until the next number of quarters, just refreshing all those products would drive incremental revenue for us. The other opportunity for us for Fanatec would be to enter new category, for example, coaching and performance tracking with some of the partners. For example, you can use AI to guide and monitor your driving style and then giving you advice so that you can gain that extra second, right? But that has been a pretty popular features for community. The second thing is entering additional categories such as the Flight sim and also farm sim. There are a number of verticals that we have not really tapped into, and these are all going to be incremental revenue source for us.
Operator: [Operator Instructions] As there are no further questions, I would now hand the conference over to Corsair CEO, Thi La, for her closing comments.
Thi La: Thank you, everyone, for joining us on the call today and for your continued support. If you have any follow-up questions, please contact our Investor Relations department. We look forward to updating you next quarter. Thank you, and have a good evening.
Operator: Thank you. Ladies and gentlemen, the conference of Corsair Gaming has now concluded. Thank you for joining us, and you may now disconnect your lines.